Operator: Good day, and thank you for standing by. Welcome to the Opendoor Technologies First Quarter 2023 Earnings Conference Call. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Elise Wang, Vice President, Investor Relations. Please go ahead.
Elise Wang: Thank you, and good afternoon. Details of our results and additional management commentary are available in our earnings release and shareholder letter, which can be found on the Investor Relations section of our website at investor.opendoor.com. Please note that this call will be simultaneously webcast on the Investor Relations section of the company's corporate website.  Before we start, I would like to remind you that the following discussion contains forward-looking statements within the meaning of the federal securities laws. All statements other than statements of historical fact are statements that could be deemed forward-looking, including, but not limited to, statements regarding Opendoor ncial conditions, anticipated financial performance, business strategy and plans, market opportunity and expansion and management objectives for future operations.  These statements are neither promises nor guarantees and undue reliance should not be placed on them. Such forward-looking statements involve risks and uncertainties that may cause actual results to differ materially from those discussed here. Additional information that could cause actual results to differ from forward-looking statements can be found in the Risk Factors section of Opendoor's most recent annual report on Form 10-K for the year ended December 31 and 2022 as updated by our periodic reports filed after that 10-K.  Any forward-looking statements made on this conference call, including responses to your questions, are based on management's reasonable current expectations and assumptions as of today and Opendoor assumes no obligation to update or revise them, whether as a result of new information, future events or otherwise, except as required by law. The following discussion contains references to certain non-GAAP financial measures. The company believes these non-GAAP financial measures are useful to investors and supplemental operational measurements to evaluate the company's financial performance. For a reconciliation of each of these non-GAAP financial measures to the most directly comparable GAAP metric, please see our website at investor.opendoor.com.  I will now turn the call over to Carrie Wheeler, Chief Executive Officer of Opendoor.
Carrie Wheeler: Good afternoon. Also on the call with me today is Christy Schwartz, our Interim Chief Financial Officer; and Dod Fraser, President of Capital Markets and our Enterprise business.  At Opendoor, our vision is to build the most trusted e-commerce platform for residential real estate, a $1 trillion history that remains static and broken. The process of buying and selling a home today remains complicated time-consuming, stressful and offline. We are at the forefront of transforming this status quo, so consumers can buy, sell and move between homes with simplicity and confidence.  Over the last 9 years, we've developed a magical product that home sellers want and need. Our conversion rates continue to exceed our expectations and past performance on a spread adjusted basis. and we've built unique pricing and operations capabilities to become one of the largest buyers and sellers of homes in the country. These are the things that differentiate us, particularly in times of macro uncertainty.  While we are seeing some stabilization following what has been the step is transition in housing in 40 years, home sellers continue to be on the sidelines. The number of new listings within our buy box were down almost 25% in the first quarter, versus prior year. Market clearance is trending higher than expected as a result of this lack of supply, but the outlook for home prices continues to be uncertain.  In light of this macro backdrop, it's imperative that we continue to operate with caution and discipline. Specifically, we expect to maintain double-digit spreads for the rest of 2023 and as we grow a new book of inventory that comfortably meets our margin targets. Given the impact this will continue to have on conversion, we are focused on expanding our low-cost partnership channels, including home builders agents and online real estate platforms to attract more sellers.  We expect these channels to be highly scalable and allow us to reach more customers in a cost-effective way. We've partnered with over 90 homebuilders across the country where we facilitate a trade-in for customers of new build homes, enabling a simple and seamless move from their existing home. We've also partnered with thousands of agents to give them another option in the toolkit to sell their clients' homes with speed and ease. We are seeing a growing number of agents make Opendoor a regular part of their service offering. Over 50% of contracts sourced via an agent relationship in the past 12 months came from agents who had previously done business with us. We are continuing to deepen these partnerships through our improved agent access rewards program that incentivizes repeat transactions and a referral offering that agents utilize to introduce sellers directly to us.  And finally, we now have partnerships with the top 3 online real estate platforms by visitor traffic in the country, Zillow, Redfin and Realtor.com. We expect to grow acquisition volumes via these platforms as we get to market parity over time, enabling us to reach the hundreds of millions of homeowners that visit these portals every month.  Furthermore, we are continuing to iterate on our marketplace offering, exclusives. In our pilot market of Plano, almost 60% of sellers we pitched in Q1 agreed to enroll into Opendoor exclusives. Amongst these sellers, we're tapping into a category of customers we're calling semi serious. They are those who are interested in selling at some point depending on price, but are not yet ready to commit to listing their home on the MLS.  We believe these are largely incremental to the customers we serve with our current cash offering. We are encouraged by these early signals, and we'll continue to iterate on this product offering this year to hone the customer experience and drive liquidity in that market.  Another focus area for us in 2023 is the strengthening of our operating pricing platforms so that we can deliver greater efficiencies and higher unit economics over time. In Q1, we evolved our in-person home assessment process to gather additional home condition and home feature data. We also implemented technology to better capture an action on the home condition feedback that we collect for home across multiple sources throughout our ownership cycle.  Together, these improvements enable us to better understand home condition, both pre-acquisition and for owned homes and optimize acquisition and resale pricing at a per home level. We have also expanded our repair and renovation capabilities through platform and process investments, enabling us to perform targeted renovations. Beginning in the fourth quarter of last year, we applied selective home condition improvements in almost 2,500 of our longest held homes, which has in turn allowed us to drive faster sell-through rates on these homes than planned.  These are just some examples of platform improvements we are executing against with the goal of delivering at least 100 basis points of contribution margin improvement next year, incremental to our current annual target range of 4% to 6%. And finally, we have further rightsized our operating capacity to reflect the overall decline in market transaction volumes and our reduced pace of acquisitions. In April, we announced a workforce reduction of approximately 22% or 560 employees, primarily focused on volume-based roles across operations, transactions and G&A groups.  We expect this to deliver savings of approximately $50 million in annualized expenses. While this was a difficult decision, it was necessary to ensure that we can continue to deliver on our long-term vision and serve customers for years to come. As we look forward to next quarter and beyond, we remain as focused as ever on improving the lives of customers and building a durable generational company. We know we have the right products, unique capabilities, the capital and the best team and not only weather this cycle, but emerge stronger and more resilient than we've ever been.  With that, I'll pass the call over to Christy to discuss our financial highlights.
Christina Schwartz: Thank you, Carrie. Our first quarter results reflect the progress we've made in selling through our old book of home while building into a new book of healthy inventory, the continued reduction of our cost structure and our focus on capital and book value preservation. We delivered $3.1 billion of revenue, which exceeded our guidance as overall market sell-through rates outperformed our expectations due to a significant decline in new listing volumes and therefore, limited supply.  These macro dynamics, coupled with our success in completing targeted home condition improvements allowed us to pull forward sales of old book homes. In particular, 92% of the Q2 cohort, which is homes we made offers on between March and June of last year is sold or in contract as of quarter end. On the acquisition front, we purchased 1,747 homes in the first quarter, down 81% versus the first quarter of 2022.  The reduction in acquisitions has been driven by 2 primary factors: First, with sellers in a holding pattern, we observed an increasing decline in new market listings versus last year, from a 17% decline in January to a 27% decline by March. Second, we saw a decline in offered contract through seller conversion due to higher spreads year-over-year. Although it is worth noting that conversion has improved from approximately 10% going into the first quarter to 15% as of March as a result of a modest reduction in spreads. In response to these 2 factors, we pulled back on marketing spending by 45% versus prior year.  Our contribution margin was negative 7.7% in the first quarter, which is a reflection of the resale performance of our old book of inventory. These longer-dated lower-margin homes comprised 75% of our retails in the quarter. In contrast, sales from our new book of homes generated a contribution margin of 8.5% in the quarter. We continue to expect these newer acquisition cohorts to deliver margins in excess of our annual contribution margin target of 4% to 6% once fully sold through.  Adjusted EBITDA loss was $341 million in the first quarter, which is inclusive of previously recorded inventory valuation adjustments of $295 million on homes sold in the period. As a reminder, over the last 9 months, we've been reducing our operational capacity, marketing spend and fixed expenses in response to the macro environment and the intentional slowdown in our purchasing activity. As such, our adjusted operating expenses, which we define as the delta between contribution profit or loss and adjusted EBITDA totaled $100 million for the quarter, down from $156 million in the first quarter of 2022 and a peak of $204 million in the second quarter of 2022.  Turning to our balance sheet. We ended the quarter with $1.3 billion in unrestricted cash, cash equivalents and marketable securities and $459 million of equity invested in our homes. We also had $10.7 billion in nonrecourse asset-backed facilities. Additionally, in March, we invested $101 million to repurchase $189 million of our outstanding convertible notes at a substantial discount, reducing our total future debt obligations.  Looking ahead, we plan to continue to operate with a cautious approach via home pricing, expense management and capital discipline, given the uncertainty of the near-term macro environment. Given typical housing seasonality, we expect spreads to remain relatively elevated throughout the remainder of the year.  Turning to guidance. We expect our Q2 revenue to be between $1.75 billion and $1.85 billion and adjusted EBITDA loss to be between $180 million and $200 million. Adjusted OpEx is expected to be around $90 million, which generally reflects savings from the April reduction in force. Consistent with this guidance, we expect the second quarter to mark the last quarter of negative contribution margin. with positive contribution margin levels beginning in Q3 when our fresh book of inventory comprises the majority of our resales.  With that, I will now open the call for questions.
Operator: [Operator Instructions]. Our first question comes from the line of Nick Jones with JMP Securities.
Nicholas Jones: Maybe one just around outlook. As contribution profit improved after 2Q, should we expect us to kind of sequentially improve through the remainder of the year? And then, I guess, does that kind of trickle down to EBITDA as well? Because it looks like there's a pretty good step up from kind of 1Q results of 2Q guide on EBITDA. So how should we think about that, I guess, as we kind of get to the rest of '23?
Christina Schwartz: Nick, it's Christy here. And thank you for the question. For contribution margin, as you know right now and in Q2, we're still selling through the old book of homes. But once those clear out, you will see improved margins. And as we said, we expect them to be positive starting in Q3. There is a slight tail. We expect to be mostly sold or in contract by the end of Q2, but the ones that are in contract will sell through in Q3 and be a little bit of a drag on contribution margin. So I think it's correct for you to think about it as increasing in the second half of the year. And then that will flow down to EBITDA.  It's also important to note that EBITDA contains the release of our impairment adjustments, our inventory valuation adjustments that we recorded in prior periods. And so as those homes that have those inventory valuation adjustments sell-through, which is the old book of inventory, you won't see those in EBITDA anymore.
Nicholas Jones: Got it. Makes sense. And then maybe one on the balance sheet. As inventories come down, restricted cash has remained relatively high. Can you remind us kind of the dynamic between the restricted cash position and the inventory position?
Dod Fraser: You're right, the restricted cash has gone up. The majority of the restricted cash increase relates to our term debt facilities, so they don't revolve. So either they're collateralized by inventory or they're collateralized by restricted cash. In our 10-Q, there's a good breakdown that shows those entities. But it's really just collateralizing the asset-backed debt. And on that cash, we do earn interest income. So you can think about that excess cash as earning interest income to offset the interest expense.
Operator: Our next question comes from the line of Dae Lee with JPMorgan.
Dae Lee: And I apologize, I see if I missed this on your recurred remark, but how should we think about your home acquisition pace going forward? Like should that follow the normal seasonality? Or do you expect that to accelerate as you're going to the back half?
Carrie Wheeler: Yes. I mean I -- it's Carrie. Thanks for the question. I would guide to do a couple of things. One is what we tried to indicate in our remarks is we've seen our spreads come down meaningfully from the back half of the year into the first part of this year and conversion has followed, i.e., conversion has improved, and we have been able to increase our pace of acquisitions. Sitting here today, I would think about us being at a pace of around 1,000 acquisitions per month. And that's a pretty good baseline for you to think about for the balance of the year. And that's under the assumption that, as we indicated in our remarks, we expect right now our spreads to be pretty much at this level for the back half.
Dae Lee: Got it. And I guess a follow-up. I mean what would you need to see for the acquisition phase to pick up higher?
Carrie Wheeler: I mean, for us, acquisition pace has a lot to do with where we are in spreads because that drives conversion for us. And for us to decrease spreads, we're really looking for is stabilization or said another way, we need a lot less volatility in the system. Implicit in our spreads right now, what we're baking in is a modest amount of home price appreciation for the back half of the year. So we want mortgage rates to stabilize. We think that will lead to volume stabilization in turn, that will lead to a little more stabilization on pricing and that allow us to compress brands. But for the balance of the year, just given the range of uncertainty around how Q3, Q4 can play out, we're going to continue to hold spreads pretty high.
Operator: [Operator Instructions]. Our next question comes from the line of Ryan Tomasello with KBW.
Ryan Tomasello: Just on the expense efficiency. It sounds like the $90 million of OpEx in the quarter is what you're thinking about as a full run rate of the $50 million of expense savings. Just wanted to clarify that piece. And then as you ramp volumes into 2024 to the $10 billion breakeven level, do you feel like you can achieve that with the same level of OpEx? Or should we be modeling some additional investment in marketing spend in just general overhead to support that volume increase?
Christina Schwartz: Ryan, this is Christy. Thank you for the question. On the $90 million for operating expense, I think that does contemplate the reduction in force that we just had in April. And so that is a relatively safe amount to model forward. To get to $10 billion, I would expect some increase in marketing, probably more in the first half of the year. But yes, that's a good place to start.
Carrie Wheeler: Yes. I mean the other thing I want to point you to is we try to provide a little more color in our letter, Ryan, around partnerships and the fact that we are leaning heavily into the fact that we have a number of low-cost channels, low-cost channels ala online real estate, we're in the very early days of our Zillow partnership. We're now across all our markets with Redfin and Realtor.com, and we have a lot of optimism for how those are going to play out over time. We're also very enthusiastic about what we're seeing out of the agent channel right now. Again, it's a low-cost, highly scalable channel for us.  And we're seeing lots of activity on the homebuilder side, where we're partnering with 8 of the 10 big ones, 90-plus homebuilders. And as you know, new builds right now is a pretty active part of the home category. So -- well, Christy, you're totally right, to get back to $10 million, we're going to spend a little bit more money on marketing. But we are also leaning into these channels that we think are quite scalable and again, come to us with very attractive CAC economics attached to them.
Ryan Tomasello: Okay. Got it. And then I believe on the last call, you talked about exclusives continuing to ramp through next year and targeting more material volume potentially in 2025. Is that still the time line that you think is achievable here as you continue to iterate the platform? Just any updates around your expansion targets there beyond your initial test markets.
Carrie Wheeler: Yes. I think the most salient update on exclusives we can give right now is that we're really encouraged by the early signs we're seeing. If you think about what we're doing right now, which is focusing on a single market, iterating, learning and testing. We've had some incredibly good signal. We're tapping into this customer segment called the latent seller, which is a seller that wants to sell at some point time line to be determined, but they don't want to list it, right? But they do want to sell it and if it's easy, they love the offers, and they want to do it the way of this seamless. And what's interesting about that to us is those customers are incremental to what we're seeing on the sales direct side. That's number one.  And two, we believe we're unearthing a category of supply that we wouldn't access otherwise. So that's encouraging. And then we're seeing buyers engage with the platform because they're getting these homes, they can't get anywhere else. They're now sitting on MLS. And in a very short period of time, within the quarter, we're driving to, I think, north of 3% listing share in Plano alone.  So that's not the 2025 metric. I know you want. But I'd say, well, the numbers are small on an absolute basis, what's really encouraging are the growth that we're seeing and the number of sellers and buyers coming to the platform. And we're going to stay focused on making sure that we are perfecting the customer experience. We're going to drive for liquidity in that market and then we're going to look to expand it over time.
Operator: [Operator Instructions]. Our next question comes from the line of Jay McCanless with Wedbush.
Jay McCanless: The first one I had, a little surprised to hear that you're starting to bring the spreads down already. Could you talk about maybe -- I know you don't like to hear the percentage, but maybe the magnitude of how much those spreads have come down since the fall of '22?
Dod Fraser: Yes. So since the fall, they're down approximately 500 basis points. So basically off of peak, we're down about 500 basis points. I think we -- part of that was done this year. on the back of seeing the stabilization in house prices. So one of my favorite charts that's in the back of the shareholder letter is our month-over-month home price appreciation. We talked about this a bit last quarter, but we saw an improvement there, and that's carried through the full first quarter. So we actually saw positive home prices in the first quarter. That said, in the back half, normal seasonality is basically flat to slightly negative home prices. And so given the uncertainty on rates, we have continued to maintain high above average spreads for this time of year.
Jay McCanless: Okay. And then when you talked about the homebuilding channel, I mean, I know you all have been in Lennar's sales offices for a long time, Horton, et cetera. I guess maybe what have you done this quarter or recently that's above and beyond what we've seen out in the field previously? And maybe talk to the economics of it, if you can.
Dod Fraser: So I can't comment on the economics specifically, but that is, as Carrie alluded to, a very low-cost CAC channel for us. I think the piece there is really the trade-in product, which has been a staple of ours for 6 years now. To your point, we started with the largest, and we continue to have an on-the-ground marketing team that is out there in the field, helping sell new home sale consultants explain the product to customers and really help us create and allow for that trade-in product that makes it so seamless for every customer.
Jay McCanless: Okay. And then just one other question. Why not print the contribution margin after interesting words there, the reason that's been removed from some of the disclosures?
Christina Schwartz: Yes, Jay, this is Christy. So we removed it last quarter, and that's because we've really kind of changed the way that we're financing our homes. A lot has changed to be senior term loans, and we have some items that are not fully utilized right now. And so it kind of reflects our current capital market structure. Dod, do you want to add anything?
Dod Fraser: Yes. I think like as a good example is what I alluded to earlier, which is we have senior term facilities today where we have positive interest expense and interest income offset each other because of that restricted cash balance we're carrying. And so allocating to a home level to load it into contribution margin was something that was -- we just could -- it's not -- there's not a clean mapping of that. So that's where we did remove that disclosure.  I think one of the things that is helpful if you're trying to understand the interest cost, though, is given where our inventory balances are now and given that those are fixed rate lending facilities, we have $2.9 billion in fixed rate term facilities. Those are very notable from a cash interest expense perspective because they're fixed. There's no LIBOR attached to it, no volatility.
Operator: I will now turn the conference back over to Carrie Wheeler for closing remarks.
Carrie Wheeler: Thanks. I just want to thank everyone for joining us today. And I want to underscore that we remain extremely focused on operating with a ton of excellence and discipline in this moment. Macro aside, there's no debt that real estate is going to continue to move online, and that customers want the certainty convenance of our product. So we're focused to continue to innovate, make investments that position us to come through this with greater resilience and on the path to market leadership and building a profitable business. So that's it. Thank you. Shout out by the way to all our Opendoor teammates who are making this happen every day, and we look forward to talking with you next quarter.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.